Operator: Greetings and welcome to Zions Bancorp Earnings Conference Call. Please note, this conference is being recorded. Now I will turn the conference over to Shannon Drage, Senior Director of Investor Relations. Thank you, and you may begin.
Shannon Drage: Thank you, Von, and good evening, everyone. Welcome to our conference call to discuss the third quarter earnings for 2025. My name is Shannon Drage, Senior Director of Investor Relations. I would like to remind you that during this call, we will be making forward-looking statements. Please note that actual results may differ materially. We encourage you to review the disclaimer in the press release or Slide 2 of the presentation, dealing with forward-looking information and the presentation of non-GAAP measures, which applies equally to statements made during this call. A copy of the earnings release as well as the presentation are available at zionsbancorporation.com. For our agenda today, Chairman and Chief Executive Officer, Harris Simmons, will provide opening remarks. Following Harris' comments, Ryan Richards, our Chief Financial Officer, will review our financial results. Also with us today are Scott McLean, President and Chief Operating Officer; Derek Steward, Chief Credit Officer; Chris Kyriakakis, Chief Risk Officer; and Rena Miller, Corporate General Counsel. After our prepared remarks, we will hold a question-and-answer session. This call is scheduled for 1 hour. I will now turn the time over to Harris Simmons.
Harris Simmons: Thanks very much, Shannon, and good evening, everyone. As you'll see on Slide 3, the third quarter reflected continued momentum in our core earnings. Relative to the prior quarter, net interest margin expanded by 11 basis points to 3.28%. Customer fees, excluding the net credit valuation adjustment, grew $10 million, and adjusted expenses declined $1 million. The efficiency ratio improved to 59.6%. Average loans and customer deposits increased by an annualized 2.1% and 3.1%, respectively, compared to the prior quarter. These trends, which resulted in positive operating leverage are encouraging. During the third quarter, we recorded a $49 million provision for credit loss. Net charge-offs in the quarter were $56 million or 37 basis points of loans on an annualized basis. As noted in our 8-K filed on Wednesday of last week, legal action has been initiated for the recovery of approximately $60 million and certain guarantors of 2 related C&I loans. We charged off $50 million of the combined balances of the loans at the end of the quarter. Additionally, we have established a full reserve against the remaining $10 million. We view this as an isolated situation resulting from a particular -- a couple of borrowers. We have no further exposure related to these borrowers or guarantors. I would note that excluding the impact of this matter, net charge-offs were minimal at 4 basis points annualized on average loans and credit quality generally improved for the quarter as well. Moving to Slide 4. Diluted earnings per share was $1.48 compared to $1.63 in the prior period and $1.37 in the year ago period. This quarter's results include a $0.06 per share negative impact related to the net credit valuation adjustment. Earnings per share also reflects the adverse impact of the elevated credit provision discussed previously. Slide 5 provides a 5-quarter view of the pre-provision net revenue. On an adjusted basis, our third quarter results of $352 million reflect an improvement of 11% compared to the prior quarter and 18% compared to the prior year period as revenue growth continued to outpace expense growth. With that high-level overview, I'll turn the time over to our Chief Financial Officer, Ryan Richards, for additional details related to our performance. Ryan?
R. Richards: Thank you, Harris, and good evening, everyone. Beginning on Slide 6, you will see the 5-quarter trend for net interest income and net interest margin. Net interest income increased by $52 million or 8% relative to the third quarter 2024. We continue to see the benefit from fixed asset repricing and favorable shifts in the composition of average interest earning assets. Growth in average customer deposits in excess of loan growth also contributed to an improved mix in funding relative to the prior quarter. As a result, the net interest margin expanded for the seventh consecutive quarter to 3.28%. Our outlook for net interest income for the third quarter of 2026 is moderately increasing relative to the third quarter of 2025, supported by continued earnings asset remix, growth in loans and deposits, and fixed asset repricing. Our guidance assumes 225 basis point cuts to the Fed funds rate in October and December of this year, with additional 25 basis point cuts in March and July of 2026. Slide 7 presents additional details on changes in the net interest margin. The linked quarter waterfall chart on the left outlines changes in both rate and volume for key components of the net interest margin. The net interest margin expanded by 11 basis points sequentially from favorable earning asset remix and fixed loan repricing as well as improvement in total funding costs. Against the year ago quarter, the right-hand chart of this slide presents the 30 basis point improvement in the net interest margin, which benefited from the improved cost of deposits. Moving to noninterest income and revenue on Slide 8. Presented on the left in the darker blue bars, customer-related noninterest income was $163 million for the quarter versus $164 million in the prior period and $158 million 1 year ago. This quarter's results include an $11 million impact from net CBA loss, primarily driven by an update in our valuation methodology in addition to changes in other market factors. Adjusted customer-related noninterest income, which excludes net CVA, was $174 million for the quarter, representing a 6% increase versus the second quarter and an 8% increase versus the year ago quarter. Notably, capital market fees, excluding net CVA, increased 25% compared to the prior year period, driven by higher loan syndications and customer swap fee revenue. We continue to see solid contributions and growth from our newer capital markets offerings, including real estate capital markets, securities underwriting and investment banking advisory fees. The chart on the right side of this page presents both total revenue and adjusted revenue for the most recent 5 quarters, which were impacted by the factors previously noted for net interest income and customer-related fee income. Our outlook for customer-related fee income in the third quarter of 2026 is moderately increasing relative to the third quarter of 2025. The growth is expected to be broad-based and driven by increased customer activity and new client acquisition. Capital markets continue to contribute in an outsized way. Slide 9 presents adjusted noninterest income in the lighter blue bars. Adjusted expenses of $520 million decreased by $1 million versus the prior quarter and increased 4% versus the year ago period, with the latter increase driven largely by technology and salary-related costs. Our outlook for adjusted noninterest expense for the third quarter of 2026 is moderately increasing relative to the third quarter of 2025. The expense outlook considers increased marketing-related costs, continued investments in revenue-generating businesses and increased technology costs. We continue to expect future positive operating leverage. Slide 10 presents 5-quarter trend in average loans and deposits. Average loans increased 2.1% annualized over the previous quarter and 3.6% over the year ago period. Total loan yields increased by 5 basis points sequentially. Our outlook for period-end loan balances for the third quarter of 2026 is slightly to moderately increasing relative to the third quarter 2025 and assumes growth will be led by commercial loans. Average deposit balances are presented on the right side of the slide. Relative to the prior quarter, total average deposits were relatively flat including 11.5% reduction in average broker deposits. Average noninterest-bearing deposits grew approximately $192 million or 0.8% compared to the prior quarter, partially as a result of the migration of a consumer interest-bearing product into a new noninterest-bearing product in mid-May at our Nevada affiliate, which is now being fully reflected in average balances. Near the end of September, our remaining affiliates completed the same migration of legacy interest-bearing deposits into the new noninterest-bearing accounts. The approximately $1 billion of migrated deposits from the remaining affiliates are reflected in period-end balances in the third quarter and will be fully represented in average balances in our fourth quarter results. The cost of total deposits declined sequentially by 1 basis point to 1.67%. Further opportunities to reduce deposit costs will depend on the timing and speed of short-term benchmark rate changes, growth in customer deposits and market competition and depositor behavior. Slide 11 provides additional details on funding sources and total funding cost trends. Presented on the left are period-end deposit balances, which grew by $1.1 billion versus the prior quarter. Total borrowings declined $1.8 billion during the quarter. Short-term FHLB advances decreased $2.3 billion, partially due to the issuance of a $500 million senior note in addition to customer deposit growth. On the right side, average balances for our key funding categories are shown with the total funding costs. As seen on this chart, our total funding costs declined by 5 basis points during the quarter to 1.92%. Moving to Slide 12. Our investment portfolio exists primarily to be a storehouse of fund to absorb customer-driven balance sheet changes, allowing for deep liquidity through the repo market. Presented here are securities and money market investment portfolios over the last 5 years. Maturities, principal amortizations and prepayment-related cash flows from our securities portfolio were $596 million in the quarter or $291 million when considered net of reinvestment. The paydown and reinvestment of lower-yielding securities continues to contribute to the favorable mix of our earning assets. The duration of our investment securities portfolio is estimated at 3.7 years. We begin our discussion of credit quality on Slide 13. Realized net charge-offs in the portfolio were $56 million this quarter or 37 basis points annualized, driven principally by the $50 million charge-offs that Harris described previously. Nonperforming assets remained relatively low at 0.54% of loans and other real estate owned compared to 0.51% in the prior quarter. Classified loan balances declined sequentially by $282 million driven by a $143 million reduction in CRE and a $141 million reduction in C&I classified levels. We expect the CRE classified balances will continue to decline going forward through payoffs and upgrades. During the third quarter, we recorded a $49 million provision for credit losses, which, when combined with net charge-offs, reduced the allowance for credit losses by $7 million relative to the prior quarter. The reduction reflects lower reserves associated with CRE portfolio specific risks. The allowance for credit losses as a percentage of loans remained stable at 1.2%, and the loan loss allowance coverage with respect to nonaccruals was 213%. Slide 14 provides an overview of the $13.5 billion CRE portfolio, which represents 22% of total loan balances. Notably, this portfolio continues to maintain low levels of nonaccrual and delinquencies. The portfolio is granular and well diversified by property type and location, with this growth carefully managed for over a decade through disciplined concentration limits. As it continues to be of interest, we have included additional details on certain CRE portfolios in the appendix of this presentation. Our loss-absorbing capital is shown on Slide 15. The Common Equity Tier 1 ratio this quarter was 11.3%. This, when combined with the allowance for credit losses, compares well to our risk profile. We expect our common equity from both a regulatory and GAAP perspective [indiscernible] and that AOCI improvement will continue through unrealized loss accretion in the securities portfolio as individual securities pay down and mature. Importantly, our organic earnings growth, when coupled with AOCI unrealized loss accretion, has enabled us to grow tangible book value per share by 17% versus the prior year period. Slide 16 summarizes the financial outlook provided over the course of our prepared remarks for the third quarter of 2026 as compared to the third quarter of 2025. Our outlook represents our best estimate of financial performance based on current information, and we expect to continue to produce positive operating leverage as revenue growth outpaces noninterest expense growth.
Shannon Drage: This concludes our prepared remarks. [Operator Instructions] Additionally, if you are considering questions surrounding the events described in our 8-K and public complaints filed on Wednesday of last week, please note that while litigation is active, our comments on these matters will be limited to what we can -- to what can already be found in those filings. Von, could you please open the line for questions?
Operator: [Operator Instructions] Our first question comes from Manan Gosalia from Morgan Stanley Investments.
Manan Gosalia: I wanted to start on the announcement in the 8-K. I guess you noted that the charge this quarter is an isolated incident. Can you talk about what gives you conviction that this is isolated? Maybe walk us through your internal review process since this came to light. How many loans have you reviewed? Are there any lumpy exposures to real estate funds within your NDFI book that you've come across? Any color there would be helpful.
Derek Steward: This is Derek. Just as far as what we've reviewed, we've reviewed -- gone through the portfolio, and we think it's an isolated incident. As we've gone through it, we haven't found similar loans or other issues, so we're very confident that it's -- this is an isolated incident.
Harris Simmons: I think I'd just add, I think the most observers our credit history over a number of years is -- speaks for itself in terms of -- I think we do credit well. This was a case where we had some unusual things going on that really are not kind of commonplace. And so -- and this, we've noted we're going to continue reviewing with an external party to make sure that we're learning from experience and seeing what we can continue to improve upon. But I think that our care in extending credit and monitoring collateral, et cetera, speaks for itself.
Manan Gosalia: Got it. Maybe if you can expand on that and take us through your NDFI exposure, as we look to the call report disclosure, I think that's about 4% of loans. It seems to be pretty spread out among subcategories. Are there any lumpier exposures or any high-risk categories there that you'd point out?
Derek Steward: Sure. Thanks for the question. We, actually for transparency purposes -- this is Derek again. We added in the appendix Slide 36 that details the NDFI exposure. It's actually about 3% of our total loans. And if you -- as you can see on the slide, the growth actually has been fairly minimal over the last several years. As far as the breakout of what's in there, it's a very, very broad regulatory definition. It covers a lot of different segments. What I would say the majority of it would be equipment leasing type transactions. You can think about yellow iron trucks, things like that. There's capital call lines, subscription lines. There's just a number of different areas within that. It's very well diversified actually within the portfolio across a lot of the various lending segments. And this is -- it's a business that we've actually been in for a long time. I don't think we're intending to grow it significantly, but it's an area that we've been in for a very long time and had good experience with.
Operator: Our next question comes from Dave Rochester from Cantor.
David Rochester: Wanted to start on your NII guide. How much fixed rate asset repricing are you factoring into that NII guide outlook? Can you possibly go through the balances that you're expecting to roll for loans and securities and what that yield pickup is and then what your expectations for longer-term interest rates are as part of that? That would be great.
R. Richards: Thanks, Dave. Appreciate the question and happy to provide some texture there. I would point you to our -- to the slight to moderately increasing guide on our loan growth. I think you've seen the pattern trajectory that we've put out for the -- going on years to quarters now on the security side. And certainly, we see the opportunity for the securities remix to continue into loans. But what that translates to on the fixed asset side if things are still -- fully play through, both as it relates to loans and then for some of our fixed rate securities, we see the potential for 2 to 3 basis points on earning asset yields to play through that's sort of embedded in our guidance.
David Rochester: Got you. So in terms of the amount of loans, fixed rate loans and fixed rate securities that you're expecting over the next year, do you happen to have a rough dollar amount to those?
R. Richards: It breaks across because it's not just those things that were borne as fixed rate things. There are things that are behaviorally like fixed rates. So 5/1, 7/1 10-year ARMs are embedded in there. So it's sort of a mix of things across CRE, C&I and then mortgages that sort of behave more like fixed rate loans that's embedded and that fixed -- what we call fixed rate asset repricing.
David Rochester: Okay. And then just as a follow-up on capital, last quarter, you mentioned you weren't that comfortable with the buyback yet. Can you give us your updated thoughts now that capital ratios are a little bit higher and maybe you have some more clarity on portfolio and growth?
R. Richards: Yes. Thanks, David. Listen, hopefully, we're staying on the same key here. So we do -- and we've been talking about this, including AOCI when we think about our total capital levels, kind of keeping that in the realm of where our peers are staying in the mix. So as we sort of stare even this quarter kind of where the peers are, including things like AOCI, there tends to be a central tenancy around 10% 12 months or so away from when we would start looking at those levels, approaching those levels, including AOCI based upon current projections. So that's when we would probably be more in the thick of things with peers.
Operator: Our next question comes from Ken Usdin from Autonomous Research.
Kenneth Usdin: Just wanted to ask about on the guidance, you have kind of moderate, moderate, moderate. However your prepared comments, you're still talking about operating leverage looking out a year. What's the gap that we think -- that you think you're aiming for in terms of the magnitude of operating leverage that you can see being able to do as you look ahead?
R. Richards: That's again. Very fair question. Listen, I first want to just reiterate what Harris said. He emphasized in has spoken comments and also in his quote about the strength of our core earnings this quarter. I think showing up with 5 points of operating leverage was an indication of some of the good things that have been happening at the bank. We're still really refining how we think about how the numbers are coming together for next year. We see enough to know that there's going to be a positive operating leverage. Where exactly that lands is not perfectly clear yet, but we know it's there. So I'll probably stop short of giving you a hard number or a hardened range at this point, but we're happy to return to it once we've landed our full year process for 2026. But I understand you struggle with the guide. Go ahead, Ken.
Kenneth Usdin: My second question just from last quarter, you were talking about a 3.50% NIM over time, 3.28% this quarter. And then kind of commentary might have changed a little bit after you had said that. I just wanted to kind of ask you to come back on that commentary that you gave and help us think about what the right zone is for your kind of long-term NIM thinking.
Harris Simmons: I think it was -- this is Harris. I think I'm the one who put that concept out there. I think that over -- like an economist, skip the number or a date but never both. I think it's kind of where we ultimately would expect to land. I think I didn't intend to convey that's going to be this quarter, next year type of thing. I think we -- I would expect that we'll continue to see improvement in the NIM. We're working very hard at making sure that we're pricing well on the asset side of the balance sheet. We'll see some of this improvement coming out of the securities portfolio, just repricing, et cetera. But it's -- the number I conveyed is, I think, in kind of the strike zone of where we probably ultimately would expect to be, ought to be and consistent with our history. So that's -- I hope that's helpful. But I'm not wanting to suggest that's going to happen in 12 months.
R. Richards: And I think the pacing of that is a little bit harder in a lower rate environment. But listen, I think just...
Kenneth Usdin: All right. So not doable, but we'll see what the timing is.
R. Richards: Yes. So I think to Harris' point, I think it's really pulling through on some of the core initiatives that we have at play to drive through deposit growth but have yet to play out fully.
Operator: Our next question comes from Ben Gerlinger from Citigroup.
Benjamin Gerlinger: So just kind of sticking with everyone's favorite slide of 26 of the latent, emergent and implied. It seems like the implication has come down quite a bit quarter-over-quarter. Obviously, some of that is your margin went up, so you recognize it, which is good. And then the Fed fund is lower by 50 bps on the outlook. I think there's 2 measurements kind of point to point a little apples-and-oranges comparison. The implied seems to suggest like minimal improvement. But is it maybe a fact of you kind of casting over and you might see margin compression as you kind of recognize the full 100 basis points? Or is it more just kind of giving you an optics view? I guess there's a lot of scenario analysis of deposit betas and everything within that, too. So just kind of curious, considering the implied is roughly 1/3 of where it was.
R. Richards: Yes, thank you for the question. And I think I caught most of that. It was coming through just a little bit faint, but I think that the rest of it is talk us through kind of where things are landing at the 1.4% based upon the implied forward based upon maybe the change period-over-period. I would just try to reinforce, as I tried to every chance, illustrative to show the various interest rate dynamics that we've highlighted in times gone by. And certainly, in a down rate environment, included in my prior response, building upon Harris' is it does make it a little tougher from a net interest income basis, but even with the backdrop of this sensitivity, we layered on top of that was a slightly to moderately increasing loan growth prospects. And the fact that there are some assumptions underlying this sensitivity that can be seen as being relatively conservative, I'll let you judge whether it is or it is not, including things like migration from noninterest-bearing deposits elsewhere, including assumption that securities are 100% reinvested in securities when, in fact, we've shown that we've actually had opportunities to reinvest at least half of those gross cash flows in other gainful places. It wouldn't allow for dynamic aspects of where we might reinvest in higher-yielding loans. As we look to remix our loan book, we've kind of pointed to commercial loans being a primary driver moving forward in 2026 for growth. Those tend to be a bit more yieldy than some of the other places that we could invest our loan dollars. So yes, there is an impact from the forward curve. We try to put some bookends around that from a down 100, up 100. What we're trying to show is even in a place where the Fed could be lowering rates, we still stand to have some upside on our NII from our forecast view when you layer on all the other more dynamic aspects, including loan growth and other assumptions that one could assume moving forward.
Benjamin Gerlinger: Got you. That's helpful. And then in terms of capital, there's been some M&A in kind of your footprint or footprint adjacent, you could say. When you look at the opportunity set in front of you and you now have better capital footholds, if you were to do M&A, could you kind of target the potential size you might look at and maybe dilution impact that you might be willing to stretch to, if M&A is on the table at all at this point?
Harris Simmons: Well, I think, I mean, the variety of factors that would play into decisions about doing anything. I think most typically kind of smaller deals that increase our density in markets where we already have a presence would be kind of top of the list. I'm not going to -- this isn't a place where I'm going to talk about any metrics that would drive a deal. I think every deal has got its own kind of story. But I'd say that at least I am quite sensitive to the concept of dilution and would want to make sure that it was a really sound, strategic fit for a deal. And so I don't know, we're open to looking at opportunities, but it's not anything that is driving us. We feel no compulsion to get anything done that way.
Operator: Our next question comes from Matthew Clark from Piper Sandler.
Matthew Clark: Just back to the 8-K. Can you just maybe step back and give us some more color on how things unfolded, when maybe you first discovered that there was a problem and whether or not those 2 credits were adversely rated previously or not and then just how you monitor collateral just in general, just with the collateral kind of moving around in this case?
Derek Steward: Yes. This is Derek again. Upon learning the fact during the quarter, we commenced to review and as we described in our 8-K with the connection -- in connection with an event of this type, took a little while for our analysis and review. And once we discovered where we thought we were, we felt it was appropriate for transparency purposes just to put it out there that we -- what we have found.
Harris Simmons: I think it's the processes. I mean we have a lot of people around here that are looking at collateral and loan documentation, et cetera, et cetera. I think historically, they did a great job. This is obviously one that was not something that came across the radar screen as early as we would have wished and so one of the reasons that we're doing an outside review. But again, I think, historically, we've got a pretty good track record monitoring and...
Benjamin Gerlinger: Understood. Okay. And then just the other question for me just sort of on the loan growth outlook. It looks like you slightly raised the loan growth guide. It looks like it's going to be predominantly driven by commercial, but there was some runoff in C&I. Can you maybe just speak to the runoff in C&I and maybe the related pipeline and how you expect to kind of restore that growth?
Scott McLean: Yes, this is Scott McLean. And our loan growth has been sort of in a 3% kind of growth mode, plus or minus for the last 7 quarters, if you go back to the first quarter of '24. And if you just think back over that time period, there's a lot of concerns about the commercial real estate kind of industry issues, concerns about the economy related to that. Tariffs came along as a story. And so as you think about this time period, it's not a time to be -- have to -- investors should expect us -- we expect ourselves to be very thoughtful about where we're lending into the economy. So you're probably going to see us sort of chop along at these levels. That's what we're kind of guiding to. Having said that, we're doing a lot of things on the offensive. Our call programs have never been stronger or more active. You know of our pursuit of the SBA lending activity and our move up the league tables in that regard, moving to the 14th largest originator of SBA 7(a) loans as of September 30, the SBA's fiscal year-end. We've got new products we're bringing to market both for consumers and small businesses, and we've totally revamped our approach to marketing to make it much more of a strategic weapon going forward. I say weapon in a thoughtful, caring kind of way, but I think you understand what I'm saying. So there's a lot that we're doing to really pursue an offensive mindset. So I know that as the economy shows a little brighter, more consistent daylight. I think our portfolio, as it always has will achieve moderate single-digit loan growth, which we've done for many years.
R. Richards: And I think, Matthew, in your question there as well, I think you asked a question about the C&I being down perhaps in the quarter. [indiscernible] on an average basis being up on a spot basis, loans being down sequentially. That's against the backdrop, it's not obvious from what we showed you but actually some really good loan production that was just offset in places by some paydowns and payoffs. And so I think you prompted for the C&I piece of that. So we did see some actually activity there and bringing down balances for NDFIs for health care and pharmaceuticals, but there are also some reductions in other categories, including CRE, multifamily and office and some in consumer. We do have a slide in our appendix that shows where the loans ran off across our affiliates and places and across various categories that would also point you to.
Operator: Our next question comes from John Pancari from Evercore ISI.
John Pancari: On the credit front, I know you mentioned the third-party review here a couple of times. Can you elaborate there a little bit? What exactly is the third-party review looking at? How comprehensive is it? And are your collateral assessments, are they purely done in-house? Or do you also outsource your collateral assessment? And maybe how frequently is that done?
Derek Steward: Sure. I can speak to the review. I mean we have a long consistent history of low credit losses relative to the industry, and when these things happen, we're going to do what any prudent bank would do with an event of this type, which is take the steps to review our policies, procedures to see what we can learn. And so we will be doing that. It's just -- it's prudent for us to do that. As far as the question on collateral, we have -- mostly, we monitor our collateral in-house. We have a lot of people in the bank that do a great job every day monitoring the collateral, and we have rarely seen issues like the ones that we saw with these loans. In some cases, we do use -- we do field exams or audits of customers. But in most cases, we will monitor it in-house.
John Pancari: Okay. All right. And then also on credit, I know a little while after the GFC and as you collapse your charters and everything, I know you had -- I believe you had moved some of your credit decisioning more centralized. Is your credit decisioning still centralized? Or are there still components of the underwriting and monitoring that are being conducted at the individual banks?
Derek Steward: So one of the -- this is Derek again. I mean, one of the strengths of our model is we try to have local decisioning at the affiliates. That's just core to how we operate. Now it's centrally monitored. There's second-line oversight. There's controls and things in place and depending on the size of the credit, that may go up to the corporate level. But there's -- it just depends on the size of the loan and the type of the loan. But again, we try to have local decisioning where they know the customers the best.
Scott McLean: I would just add to that, all of our credit executives report up through Derek. And when he's describing local, it's really -- they all report up to Derek, but they are located in each of our affiliate geographies. And so they're working actively with the team there. They're not miles away or states away and -- but they do -- they are part of what we call the second line of defense. They report directly to our Chief Credit Officer. And depending on the loan size, Derek as Chief Credit Officer is involved once loans get to a certain size.
Operator: Our next question comes from Peter Winter from D.A. Davidson.
Peter Winter: Scott, I wanted to follow up on the loans. And just wondering if you could talk about how loan demand has changed over the last 90 days and what you're seeing in terms of loan spreads.
Scott McLean: Yes. Loan spreads have actually improved just a little bit, depending on the category. But boy, to talk about loan conditions over the last quarter, we just don't really think about it quite that way. I know you all do. But if you look back over the last year, it's very much the way I described it and the way Ryan described some of the charge-offs we had on the last -- sorry, some of the loan payoffs that we had in kind of the last portion of the quarter muted the loan growth just a bit. But production, if you actually look at production, it's been up in most months this year compared to 2024. And we generally see pretty good loan growth in the fourth quarter of the year. We certainly did last year. And so none of that would guide towards the fourth quarter. It's going to be a differentiated loan growth period. But we're poised. We're prepared. We're doing the right things to experience loan growth at faster pace when it occurs.
Harris Simmons: I'd just add, as term rates have come down a little bit, we have seen some accelerated refinance of the commercial real estate and even the owner-occupied portfolio. So that's been a little bit of a headwind. So that's a factor, but we've -- all -- with that said, improved pipeline and construction loans, which it takes time for those balances to build, this project proceeds. The equity goes in first. And so there's some lag effect there. But that will -- expect will rebuild, but the payoffs come a little faster than the new balance, I suppose.
Peter Winter: Got it. And if I could ask, if I think about this year, you ramped up investments, really got more aggressive with marketing, hiring of bankers. You've rolled out some new products such as the consumer Gold and Clearly seeing some good results. But would you expect expense growth to moderate next year? Or do you still plan to kind of heavily invest in various revenue initiatives and see expense growth somewhat elevated again next year?
Harris Simmons: I'd expect the -- we're going to continue to invest in building the business and building -- hiring producers if we can find good people. We've been continuing to do that. I expect we'll see some increased marketing spend. But at the same time, we're working really hard to try and offset that with as best we can with saves and back office kinds of nonrevenue producing kinds of functions. So we're working at both at the same time.
Operator: Our next question is from Chris McGratty from KBW.
Christopher McGratty: Harris, on deregulation, big picture, what does that mean for Zion at this point?
Harris Simmons: Deregulation, you say?
Christopher McGratty: Yes.
Harris Simmons: Yes. Well, listen, I think I suspect that I speak for a lot of my counterparts around the industry. We're looking for solid regulation. We're not looking to -- and we've seen instances where regulators have really started focusing on stuff that's kind of -- it's trivia. It's -- has been politically motivated the whole -- the banking kind of thing, regulation around -- disclosures around the climate trying -- getting us to try and figure out what the impact of small business lending is on climate change. I consider all of that to be not particularly productive and a distraction from doing what we ought to be doing, which is figuring out how we've -- how we land the businesses, individuals to do productive things. And I for one, I welcome the attitudes we're seeing currently out of the regulatory agencies to get back to basics and to focus on the things that are -- can create material weakness in the financial system. But it's not going to change much about how we -- if anything, it's not even -- change anything really materially how we think about credit, how we think about managing risk, et cetera. I think it's going to be helpful in eliminating some of these distractions. But -- so I think it's a good thing. But won't have any material impact on how we operate.
Christopher McGratty: Okay. And then, Ryan, for you on the deposit exposures on the noninterest-bearing. Should we think of those as just a reclass and then a little bit more next quarter? Or is it something beyond that, that I missed it?
R. Richards: Yes. Thanks, Chris. Listen, we've rolled through our -- all of our affiliates at this point. And it is a reclass over something that was a pretty low-cost consumer interest-bearing into noninterest-bearing. So while maybe being slightly accretive to funding costs are beneficial but not to a great degree. But we're really enthusiastic about the pull-through and the market receptivity that we're seeing so far. And to the earlier point, there's still an opportunity to put some more marketing dollars behind that and that growth agenda that Scott talked about before to really invigorate that program.
Scott McLean: Chris, this is Scott. I think the bigger picture with noninterest-bearing deposits is that they're stable. And we saw that stability in the earlier quarters this year, and everybody was wondering going into this year will noninteresting deposits continue to go down. And so I think the story is they're stable. Ours appear really stable now. It's been 3 -- 3 quarters is a trend. I think it is. And that kind of peer-leading mix of noninterest bearing to total deposits, which we've had for 3 decades, if that's any indicator, we've gone through, yet again, another rate cycle and have maintained that peer-leading mix of noninterest bearing to total deposits. But that's -- I think that's the second headline at least that we're pleased about showing this year.
R. Richards: And really, the real success will be measured by the net new clients that we obtained through these programs, right? So we're happy with what we're seeing so far, but there's still more work to be done.
Operator: Our next question comes from David Smith from Truist.
David Smith: Thank you. Getting back to the idea of the transition from modest loan growth shrinkage this past quarter to getting back to that low to mid-single-digit growth rate over the next year. Just talk about your current risk appetite today and whether the current situation with those 2 one-off borrowers has had any impact on it and how your overall risk appetite might evolve over the next few quarters as well.
Derek Steward: Yes. Thanks for the question. This is Derek. Yes. I mean that's -- we're going to continue doing -- underwrite the way we've done historically. So this will not change how we look at growth. Now can we learn? Sure. But we're going to continue doing what we've been doing, and it shouldn't impact our loan growth. As Harris did indicate, I mean, we have been working through some commercial real estate criticized and classifieds that we've seen those successfully pay off or improve over the last 6 months. So that's something that will continue.
Operator: Our next question comes from Bernard Von Gizycki from Deutsche Bank.
Bernard Von Gizycki: Just on the 8-K that you released, I know there's a lot of questions on this, but in there, you noted you became aware of legal actions by several banks and other lenders. I know you couldn't announce the borrower, but there were a handful of issues that appeared in the market before this. And I understand the limitations of what you can disclose, but today, credit seems solid outside of this. Why not put this in perspective for us at the time of the 8-K filing?
Harris Simmons: Why not put credit more broadly in perspective? Well, I think we -- listen, we weren't in a position where we wanted to prerelease at the end of the quarter and kind of getting it out there a piece of the time wasn't the intent. The intent, I think, was we filed a lawsuit. That lawsuit is a matter of public record. We didn't want to have somebody stumble across that and have the information that the market didn't have. So I think that was a primary factor in our determination to file an 8-K at the same time, so that everybody would have the benefit of seeing what somebody could have found in the courthouse. It's about that simple.
Bernard Von Gizycki: Okay. Understood. And then just separately, when we think about the outlook on fee income, it looks like it's going to be broad-based. I know the cap market piece is going to be outsized. But with regards to the other areas, like any particular areas that stand out outside the cap markets? Or any commentary or color you can add towards that?
Scott McLean: Sure. It's Scott. I'd be happy to respond to that. Yes, our capital markets business has been growing nicely -- with the 2, 3 years ago, said we were leaning into -- when it was kind of $70 million-ish a year, we reflected that we would try to perhaps double it over a 3-, 4-year period, and we're well on our way to doing that. But we have seen, this year, broader growth. Treasury management kind of account analysis revenue is up about 4%. Our business and retail service charges, which had been decreasing for some years or flat to decreasing, actually have shown nice growth this year. And our mortgage, kind of a change in how we are pursuing our mortgage business to more of a held-for-sale approach as opposed to held for investment is generating more fee income, and we saw that pull through in the third quarter. So anyway -- and our wealth business, which is an important business for us is a little bit flat right now. And -- but we believe as we look out a year, it will grow very nicely also. So we're seeing a much broader mix of growing businesses than, say, this time last year.
Operator: Our next question comes from Anthony Elian from JPMorgan.
Anthony Elian: On -- a follow-up on NDFIs more broadly. Harris, you've been in the industry for many years now, which I think gives you a unique perspective relative to other CEOs in the industry. Given the scrutiny by investors on banks' NDFI portfolios, I'm wondering if, in your view, the concerns that investors have on this loan category are overblown or if their concerns are reasonable.
Harris Simmons: Well, I'd start by saying, I mean, the NDFI spectrum is pretty broad. It includes some categories that I think are proving to be quite safe. Capital call lines would be a good example of that. It's -- and personally, if I have -- if I think there's risk out there, I think it's probably in private credit. And I say it because given the rate of growth and the lack of regulation, the dearth of covenants and sometimes more liberal structures that I think we see in that kind of credit, I think FSOC, Financial Stability Oversight Council, and others have been expressing greater concerns about that growth in private credit because it's -- when you get something growing as quickly as that's been growing and with magnitude of size of that sector, it's at least kind of a yellow flag. I don't think that direct exposure that most banks have in private credit are particularly worrisome. The greater risk, I think, is going to be the kind of spillover risk if or when that private credit sector finds itself in a period of stress. They don't have the structural backstop of liquidity that the banking sector does with the Fed, et cetera. And so again, given the high rate of growth in the sector, I think it's not unreasonable to think that it could pose some increased risk in credit markets. But I think I do think that -- look, we've had the Tricolor and then the First Brands issues. And I think that kind of had the market a little on edge. And when we had our announcement last week, everybody was connecting dots maybe more than this warranted. I don't think there's necessarily a relationship between these 3 credits other than I do think -- again, this is me speaking, but I -- we've been through a prolonged period without a lot of stress in the markets. We're now sort of 15 years out from the financial crisis. Pandemic looked like it could have been one of those moments, but there was enough government assistance flooding the markets to stave that off. And I -- so I'm not wishing for a recession, but there's something that's kind of inherently healthy about cycles, too, and we -- so I worry about what we haven't seen that will hit when we go through a cycle. And again, given the growth, the sort of a lack of oversight -- and I think there's some very responsible lenders in private credit. Don't get me wrong. But I also think there's a lot of pressure to keep growing once you get on that treadmill. It's hard to get off the growth treadmill1. So anyway, those are a few thoughts, but I -- things that I think about.
Bernard Von Gizycki: Appreciate that. And then my follow-up, if I look at the new Slide 36 you added on NDFI, where are you paying the most attention to within these allocations? And which of these buckets, if any, would you say are of highest and lowest concern from a credit quality perspective? I know you mentioned capital call lines will be on the safer side. But where are you paying the most focus on?
Derek Steward: Well, this is Derek again. I'd say we pay attention to all of them, all of the segments. I think within -- again, this is a very -- it's a very broad regulatory definition. So you really have to go credit by credit. Just within there, I think we pay attention to leverage lending. There's a number of other -- just areas to focus on, but it's hard to just focus on -- say, there's one segment here that I would call out. I think it's important that we focus on all -- certainly, the capital call line, subscription line, those have proven over time to -- even though they are lower return opportunity, typically, they're -- they've proven to be a little more stable.
Operator: Our next question comes from Janet Lee from TD Cowen.
Sun Young Lee: In terms of your NII guide, am I correct to assume that there will be a 2 to 3 basis point lift to earning asset yields per quarter based on the forward curve? It feels like that 2 to 3 basis point earning asset yield increase has been the color we've pretty much consistently heard for a while now. So -- and also can we assume that the half of the run-off jump in securities is going to get reinvested in the coming quarters? I would appreciate any details on the underlying assumptions for your NII guide.
R. Richards: Yes. Thank you for that, Janet. Listen, on the earning asset yields, whether on a latent or an emerging perspective, we still see the same kind of range there of the pickup of earning assets. You might be on one end of the range versus the other but still within the range that I alluded to before. Maybe on latent, maybe be on the high end; on emergent, maybe on the low end when you combine the repricing for loans and securities. In terms of what's to come, you can see where we've been in more recent quarters. And reasonably consistently, we've been reinvesting about half of the gross cash flows that come out of the portfolio. I think we sort of signaled that, that will probably need to taper at some point. We've had -- we've spoken broadly about kinds of rules of thumb. But what it really comes down to is when you go run your liquidity stress test, have the things hold up on that basis. So is there more room to run on the securities portfolio? Yes, there is, but it's probably not the same extent as what we would have said a year or 2 ago. So I guess, we're going on quarter upon quarter, probably closer to a year or more where we've done reinvesting half. I would expect us to continue to reinvesting some. To what extent will depend on other factors as we go. Including the opportunity for reinvesting in loan growth and/or paying down wholesale funding resources.
Sun Young Lee: And just to clarify, so on your guidance side, so you are expecting C&I to be a bigger driver for commercial loan growth than CRE over the next 12 months. And also -- and if you could confirm that, that would be great. And also, looking into 2026, do you see that the commercial borrowers are getting more excited or getting more optimistic with the rate cuts coming? And also how much of a bonus depreciation being likely to return in 2026 with the bill? Like is that also a positive reinforcement for improved C&I loan growth heading into 2026?
Scott McLean: Yes. This is Scott. And the answer to your first question is yes. A greater portion of growth will come from C&I loans in '26. That's what we believe. In terms of borrowers having an uncontrolled enthusiasm about lower rates, I don't think they thought rates, where they were, were retarding loan growth. I think what you're seeing is not really a rate-driven thing as much as just a concern about the macro economy, whether it was commercial real estate issues or the economy in general or tariffs, possibly the thought of a looming recession. I think that's more on people's mind. And certainly, yes, with lower rates, borrowers will be happy about that. And -- but I don't think they were terribly unhappy about where rates were in terms of making economics really work on projects or investments, et cetera.
R. Richards: And I think on your -- maybe your point on the depreciation for the One Big Beautiful Bill, the upfront, I've not seen any modeling on that basis. You can imagine that net-net, that you would think that, that would be supportive of capital investments all else being equal. But in terms of narrative, I don't know that there's much to offer on that yet.
Operator: Our next question comes from Tim Coffey from Janney Montgomery Scott.
Timothy Coffey: My question had to do with the commercial real estate portfolio and that segment of the portfolio where your construction on an existing building for property improvements, rehabilitation, et cetera. And so my question is have you seen any improvement in the time to lease up once those projects are complete because if I remember correctly, a couple of quarters ago, some of those loans had met it to nonaccrual. And I'm just wondering if there's been an improvement in the lease-up time.
Derek Steward: Thanks for the question. This is Derek again. Well, not very many have made it to nonaccrual, but it's -- what I would say is there was -- in '21 and '22, there was a lot of supply [indiscernible] that I point to, at least from our portfolio, which primarily would be multifamily and industrial. And what's just happened, as I've said before, is it's taking longer for those to lease up. But we are seeing them lease up, especially in the multifamily. We see some concessions. So maybe 1 month, 2 months of free rent, but the buildings are filling up. So they're -- it's taken certainly longer than, I think, sponsors or we would have hoped, but they're still leasing up. And I think, over the next year, as we said, I think we're going to continue to see our credit size in classified just hopefully improve.
Operator: Our next question comes from Jon Arfstrom from RBC Capital Markets.
Jon Arfstrom: Derek, just a question for you. How do you want us to think about the reserve level from here? I think you're saying despite the drama of the past week, I'm sure the antenna is up, but just confirming you're saying you're not seeing anything else abnormal at this point on credit and confirming that. And then how are you thinking about the reserve level?
Derek Steward: Well, I mean, we reserve for what we expect. So based on -- primarily based on the economic scenarios that we use and what we've modeled and then apply some judgment to it as well. And so our reserve has stayed fairly stable actually for a number of quarters. So unless -- but it would depend upon the economy and where we think that's moving or to shift.
Jon Arfstrom: Yes. Okay. Okay. I can -- I understand what you're saying. Harris, anything else unsaid on credit? I mean, obviously, your stock has been really volatile on it. You've talked a lot about it. But anything else on underwriting and credit that you haven't touched on that you'd like to touch on?
Harris Simmons: Well, I was -- earlier this afternoon, I had a -- going through, I was looking at kind of risk-adjusted net interest margins for a lot of the banks that have reported so far this quarter. And even with -- I take the NIM. I subtract actual charge-offs. And we had a risk-adjusted NIM about 3.01%. Now without the $50 million charge-off, it would have been about 3.25%. But at 3.01%, we'd be kind of in the top third of kind of the banks even with this event. As I noted, I mean, this quarter, we had 4 basis points of other charge-off loss. So it's not like I expect to have an event like this one every quarter. I think that we actually do credit really well. I think it's one of the strengths of this place. I think it may have been one of the reasons that it triggered -- got everybody's attention because it was not the kind of thing you'd expect from us. And I hope that we'll always have that kind of reputation. And it's something we take really seriously. A few quarters ago, somebody asked what's the loss you expect to take when you make a loan. I said it was 0. We expect to get it all back. And so we take it seriously when we don't. But anyway, I think we're one of the better ones in the industry, actually, with the track record. I think that's true if you take out this isolated case. I'm not arguing you should because it's happened. But even with it there, 37 basis points isn't out of the realm of kind of what the rest of the industry funds at routinely. So I don't want people to understand that about us. Part of the strength of the place -- I mean you have strength of capital and everything else, but it's also culture and it's credit and -- so I'd call that to people's attention.
Operator: This now concludes our question-and-answer session. I would like to turn the floor back over to Shannon Drage for closing comments.
Shannon Drage: All right. Thank you, Von, and thank you all for joining us today. We appreciate your interest in Zions Bancorporation. If you do have additional questions, please contact us at the e-mail or phone number listed on our website. We look forward to connecting with you throughout the coming months, and this concludes our call.
Operator: Ladies and gentlemen, thank you for your participation. This does conclude today's teleconference. Please disconnect your lines, and have a wonderful day.